Unidentified Company Representative: Good morning, everyone, and welcome to VCI Global Fiscal Year 2024 Earnings Conference Call. Joining me today to discuss our results are Victor Hoo, our Group Executive Chairman and CEO; and Zhi Feng Ang, our CFO. Before we begin, I would like to take this opportunity to remind you that our remarks today may contain forward-looking statements which are subject to future events and uncertainties, statements that are not historical facts including but not limited to statements about the Company's beliefs and expectations are forward-looking statements. Forward-looking statements involve inherent risks and uncertainties and our actual results may differ materially from these forward-looking statements. All forward-looking statements should be considered in conjunction with the cautionary statements in our earnings release and the risk factors included in our filings with the SEC. This presentation also includes certain non-GAAP financial measures, which we believe can be helpful in evaluating our performance. However, those measures should not be considered substitutes for the comparable GAAP measures. The accompanying reconciliation information related to those non-GAAP and GAAP measures can be found in our earnings press release issued earlier today. Without further ado, I will now turn the call over to our Group Executive Chairman and CEO, Mr. Victor Hoo.
Victor Hoo: Thank you. Good morning, everyone, and thank you for joining the call to discuss our 2024 performance. I'm pleased to report a strong year for VCI Global. We achieved a 41% increase in revenue, reaching $27.8 million and $0.4 million, increase in net income amounting to US$7.6 million compared to the previous fiscal year. This remarkable growth was driven by solid performance across all our business segments. Despite a challenging macroeconomic environment, I'm particularly proud of the strategic milestone we achieved. While the growth in net profit may appear modest, it reflects deliberate investment we make in building a stronger foundation. For example, expanding our team, hiring top talent and enhancing our infrastructure. These investments are positioning us for accelerated growth and sustainable growth in 2025. One of our standard achievements this year was a success in our technology division solution and consultancy segment. We introduced innovation in generative AI and AI-powered digital human technology, which not only reinforce our vision to lead in the tech space, but also boasted the rapid expansion of our cybersecurity-as-a-service and AI-as-a-service offerings under V Gallant [indiscernible]. Our Advisory business also saw significant progress. V Capital Consulting Group Limited or VCCG, our dedicated capital markets advisory division is preparing for a carve-out IPO. This move reflects our confidence in the long-term potential of the capital market advisory space. Even amid broader macroeconomic volatility to further support our growth, we are expanding our regional footprint with new offices in Singapore, aim at scaling our cybersecurity and capital market advisory services and in Hong Kong, to deepen our presence and client reach across greater China. This strategy initiative reinforces our position as a regional leader in capital market consultancy. Building on a record setting year, our strong performance reflects both strategy execution across high growth sectors where we see sustained demand. In 2025, we will continue accelerating the development of our cross sector platform strategy seamlessly integrating AI infrastructure, CSaaS, Fintech solutions, renewable energy assets, and capital market advisory. Now I'll turn the call over to Mr. Ang to provide more details on our financial performance.
Ang Zhi Feng: Thank you, Victor, and thank you, again to everyone for joining us today for VCIG's fiscal year 2024 earnings call. I'm Ang, CFO of VCIG, and I'm pleased to provide an overview of our financial performance. We are proud to have delivered exceptional results in fiscal year 2024. Our revenue rose by 41% compared to the previous year, driven by strong performance across all core verticals. These results validate our long-term strategy and the unwavering dedication of our team. Let's take a closer look at our revenue breakdown. Revenue from business strategy consultancy increased by 1% from US$14.7 million in 2023 to US$14.8 million in fiscal year 2024, reflecting overall consistency in performance year-over-year. The company continued to execute high impact transactions, including the successful NASDAQ listing of Founder Group Limited, FGL in short, on October 23, 2024, and YY Group Holding Limited, YYGH in short, on April 22, 2024. Several other clients are currently progressing through the IPO pipeline, further reinforcing VCI Global strong positioning and growing credibility within the U.S. capital markets ecosystem. Meanwhile, our technology development solutions and consultancy segment saw remarkable growth. Revenue surge by 155% to US$11.4 million in fiscal year 2024 compared to US$4.5 million the previous year. The substantial increase was driven by advancement in our generative AI solutions, AI digital human technology, and other ongoing projects. We also delivered strong improvement in profitability through disciplined cost management. EBITDA rose by 13% to US$8.3 million in fiscal year 2024, representing a 30% margin on revenue. Net income came in at US$7.6 million and earnings per share increased by 143%, reaching US$0.51. Overall, we are proud of our achievement and the continued improvement in our profitability. Thank you, once again, for joining us to review our financial results. We look forward to connecting with you at our next announcement.
Q - :
A - Unidentified Company Representative: Thank you, Mr. Ang. We will now like to begin the Q&A session as we receive a few questions from the floor during the conference. First question is addressed to Mr. Victor. Can you elaborate on some of the key financial highlights for fiscal year 2024, particularly area where VCI Global demonstrated the strongest performance?
Victor Hoo: Absolutely. In fiscal year 2024, VCI Global delivered strong performance across several key areas. We recorded 41% increase in revenue reaching $27.8 million, driven by solid contributions from all our pre-business segments. Our technology division performed exceptionally well, especially in AI and cybersecurity services. Fueled by growing demand and innovation such as AI-powered solutions and supported by new projects focused on developing generative AI capabilities and AI digital human technologies, which are gaining strong traction in the market. Net profit rose to US$7.5 million up from US$7.1 million in the previous year, despite increased investment in talent, infrastructure and strategy initiatives. This reflects our commitment to building long-term value and readiness to scale for future opportunities. This results underscore our strong execution diversified business model and forward-looking strategy.
Unidentified Company Representative: On more strategic note, can you explain how VCI Global and its cross-sector offerings will benefit shareholders?
Victor Hoo: VCI Global's cross-sector strategy is designed to create synergies that drive sustainable growth and maximize shareholder value. By integrating key sectors such as AI infrastructure, cybersecurity, Fintech solutions, and capital market advisory services, we can offer comprehensive bundle services that address multiple client needs. This does not only increases customer lifetime value, but also reduces customer acquisition costs, resulting in a higher margins and more resilient recurring revenue base. Additionally, this diversified approach positions VCI Global to capitalize on emerging trends and tap into high growth sectors with enduring demand. By strengthening our platform across multiple industries, we provide shareholders with a unique competitive age and opportunity to benefit from long-term value creation and innovation. Our strategy is about building infrastructure that supports the digital economy, which ultimately drives scalability, increases profitability and enhances the stability of our revenue streams, key factors that directly contribute to the long-term growth and success of VCI Global benefiting our shareholders.
Unidentified Company Representative: With the carve-out IPO of VCCG in the pipeline, is VCIG considering additional carve-out for other business segments. Could you elaborate on the broader strategy behind this approach? Additionally, can you provide more details on VCCG carve-out and its growth potential?
Victor Hoo: The upcoming carve-out IPO of VCCG is part of our broader strategy to incubate high potential business unit and unlock their value to public markets. VCCG, our capital markets and strategic advisory division has shown strong momentum, particularly in IPO and M&A services. We expect the IPO to take place in the third quarter of 2025, and this move will not only give VCCG greater visibility and access to capital, but also create added value for VCI Global shareholders. This carve-out model enables us to scale efficiently, attract dedicated resources, and accelerate growth while maintaining strategy oversight. While I can't disclose specific just yet, we do plan to replicate this model across other fast-growing segments, especially in AI and cybersecurity. It's a disciplined way to remain agile, unlock shareholder value and full expansion in high demand verticals.
Unidentified Company Representative: We also received a question via email asking whether VCI Global has an international expansion strategy beyond the previously mentioned expansions in Singapore and Hong Kong.
Victor Hoo: We made strong headway in our expansion plans. In the first quarter of 2025, we established offices in Singapore and Hong Kong, and we'll be announcing the appointment of country CEOs shortly. Additionally, we are in advanced talk with partners and clients in the Middle East and expect to expand into that region very soon. This international footprint is part of our broader strategy to tap into high growth markets and position VCIG as a truly global player across our technology and consulting verticals. It will also allow us to scale our services, diversify our revenue streams and better serve clients with cross-border needs.
Unidentified Company Representative: Given the current geopolitical tensions and growing interest in AI infrastructure, how is your subsidiary V Gallant navigating these challenges, especially since V Gallant integrate both DeepSeek's LLM and NVIDIA's GPU and how does your AI infrastructure stand out in a crowded market?
Victor Hoo: V Gallant is strategically positioned to navigate rising geopolitical tension by offering a flexible AI infrastructure that bridges Eastern and Western technologies. To the integration of DeepSeek's advanced LLM and NVIDIA's leading GPU platforms. We deliver robust region and agnostic solution that minimizes dependency on any single supply chain. This hybrid approach ensure resilience and continuity for our clients, enabling them to access cutting-edge AI capabilities without being limited by regional restrictions or geopolitical risk. By leveraging the strength of both ecosystem, we provide a neutral globally interoperable platform that stands out into this fragmental landscape. Our AI-as-a-service model DeepAI is not only cost efficient, but also built for speed and scalability. Clients can deploy tailored AI solutions powered by LLM such as DeepSeek or Llama, and integrated with a range of AI agents within 24 hours. Our system supports both the NVIDIA's GPU and alternative regional hardware, eliminating the need for high upfront CapEx has specialized talent. This plug-and-play significantly lowers the barrier to enterprise AI adoption while maintaining performance and adaptability.
Unidentified Company Representative: VCI Global has developed a proprietary cybersecurity-as-a-service solution. Can you speak to the competitive landscape in this space and what differentiates your platform from the others in the market?
Victor Hoo: While the cybersecurity space is highly competitive, what sets VCI Global apart is our proprietary cybersecurity-as-a-service solution. CyberSecure, which delivers comprehensive real-time protection at both the hardware and software levels. A key feature of CyberSecure is its automated backup of the user's entire operating system. This allows for immediate data recovery in the event of a breach, including ransomware incidents. This capability is critically important for organization seeking to ensure business continuity and minimize operational downtime. Furthermore, CyberSecure incorporates military grid encryption directly into the hardware. This chip level encryption creates an additional layer of defense, making it significantly more difficult for remote attacks to succeed. Physical access to the device will be required, which is a far higher threshold for potential traits. The solution is delivered via a subscription model, which is structured to reduce upfront capital expenditure for enterprises while ensuring ongoing access to the latest security updates and threat intelligence even for on-premises deployments. Ultimately, CyberSecure brings together robust real-time protection, reputation recovery, and resilient hardware level security into one unified platform, which we believe provides a strong value proposition for our clients.
Unidentified Company Representative: Thank you, Mr. Victor. We appreciate the thoughtful questions from the floor. With all submitted questions addressed, this concludes our earnings conference. I will now hand the mic back to Mr. Victor, the Group Executive Chairman and Chief Executive Officer of VCI Global for his closing remarks.
Victor Hoo: Thank you, again, to everyone for being here today and for the engaging questions during the Q&A session. 2024 has been a remarkable year for VCI Global. We achieved record revenue and net income, launch innovative technologies and taken both steps to scale our cross-sector platform. What we have shared today reflects our unwavering commitment to long-term value creation and strategy execution across high growth verticals. Looking ahead, 2025 will be a year of continued momentum. We are moving forward with a public listing of VCCG and further skilling our AI and cybersecurity capabilities to V Gallant. Our mission remains clear to build future-ready infrastructure that drive recurring value, lowers acquisition costs, and enhances shareholder returns. On behalf of the leadership team, I want to thank our shareholders, employees, partners, and all stakeholders for your continual trust and support. We look forward to delivering another year of strong sustainable growth together. Thank you and we'll see you at the next update.